Operator: Good afternoon, and welcome to the Sphere 3D First Quarter 2015 Financial Results Call. Today's conference is being recorded. I would now like to turn the presentation over to Mr. Jim Byers at MKR Group. 
Jim Byers: Thank you, operator. Good afternoon, everyone, and welcome to this afternoon's conference call to discuss Sphere 3D's first quarter 2015 financial results for the period ended March 31, 2015.
 I would like to note that management, during the course of our discussion today, including the Q&A section of this call, will make forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Management may discuss future plans and prospects for revenue, product introductions, market conditions, competitive conditions, gross profit margins, spending levels, other financial metrics and relationships with third parties. We caution you that forward-looking statements relating to these and other subjects we may discuss, involve risks, uncertainties and assumptions that are difficult to predict. They are not guarantees of performance, and the company's actual results could differ materially from those contained in such statements.
 There are many factors that could cause or contribute to such differences, we refer you to the risk factors and cautionary language contained in today's press release announcing Sphere 3D results as well as company's filings with the Securities and Exchange Commission, including the risk factors, management's discussion and analysis and other sections of the company's periodic reports, currently on file with the SEC.
 We remind you that the company's forward-looking statements are based on current expectations and speak only as of this date. Sphere 3D undertakes no obligation to publicly update any forward-looking statements to reflect new information, events or circumstances after the date of this release and conference call.
 On the call today from Sphere 3D are Eric Kelly, Chairman and CEO; Peter Tassiopoulos, Vice Chairman and President; and Kurt Kalbfleisch, Chief Financial Officer. Eric and Peter will begin by providing an update on Sphere 3D's business and product strategy and Kurt will then follow and review Sphere's first quarter results. After Kurt concludes, Eric will have some closing remarks, after which, he will open the call for questions.
 Now with that said, I would like to turn the call over to Sphere 3D's CEO, Eric Kelly. 
Eric Kelly: Thanks, Jim. Good afternoon, everyone. Welcome to our First Quarter 2015 Earnings Call. During our fourth quarter 2014 earnings call on March 30, we discussed quite a few things and initiatives that we wanted to recap. One, we talked about the integration of our product portfolio that we'd be delivering our innovation solutions to address the growing markets. We talked about the cloud markets, virtualization as well as the data storage. We also highlighted our growth strategy, expanding our strategic partnerships, specifically around our Microsoft alliance, would be able to allow us both to deliver on unique cloud offerings.  We focused on investments on key growth areas. Our cloud virtualization, both public and private; our converged infrastructure, integrating -- integration of our broad IP portfolio; and then leveraging our global distribution and reselling network. We also talked about introducing new products to our installed base, which represents over 1 million units installed today.  And then we talked about developing our key vertical markets, our education, vertical market, our healthcare vertical market and our government vertical market. And we really just talked about our vision, and I'd like to just address that again. Our vision is to support organizations and individuals to have access to applications on any device, anywhere around the world. And we're doing that by leveraging the 3D technology and providing -- that provides -- and delivering unique ways to create, manage and retain information, all driven forward so we can actually improve the productivity of our work in our lives.
 And one -- another thing that we talked about was through the transformation and the acquisition that we did with Overland really expanding our estimated addressable market. So today, when you look at the market that we're able to address, it's over $50 billion. One of the first markets is our hybrid cloud backup solution, which represents about $4.8 billion by 2018. The other one is our hybrid cloud enterprise storage solution, which will exceed $9 billion by 2017. And then, the hyper hybrid cloud virtualization market, which is north of $18 billion by 2016. And then the culmination of our IP and our portfolio have really developed in our hybrid cloud converged infrastructure solutions, which is over $17 billion by 2016. So we have a very broad addressable market to make sure that we can develop our business and achieve the golden objectives that we have ahead of us.  And we also have a broad, global presence. I mean, today, we have our U.S. headquarters here in Silicon Valley. We have our Canadian headquarters that handle sales and R&D. We have our European headquarters in Germany, including offices in London and France. We have our sales office in Japan. We have our APAC headquarters in Singapore. We touch India and also, Dubai. We also have our development group in R&D in Norway.  So we're able to reach and sell products at over 90 countries today, and a channel network that reaches that far -- a service organization that reaches that far as well.
 So when you look at kind of our strategy in terms of developing the hybrid cloud solutions, the problems that we're trying to solve, what we hear from our customers, what we hear from our partners are a couple of things. One, the amount of data is increasing exponentially, over 60% compounded annual growth. And by 2017, there are going to be over 10 billion mobile devices, more than 1.4 per person. And the network traffic will increase 11x in the next 6 years.
 Enterprises are seeking to provide the flexibility to access mobile devices. They also want to be able to deliver that in a way that doesn't compromise the requirements for central management and cyber security.  And when we talk to the industry leaders, they see the same problems on a global footprint. You have Microsoft sustained containers and hyper -- hybrid solutions. If you talk to IDC, which is one of the leaders in the research & development area and analyst areas, they call it the "third platform," apps, cloud and Big Data. If you talk to software companies, they continue to say virtualization and hybrid solutions are ways in which those problems are going to be solved.
 And so when you think about what we've been developing and the strategy that we have employed is really around the product synergy strategy. It all comes -- culminates from the virtual workspace. An what is the virtual workspace? It's application virtualization, which is our Glassware 2.0 technology. It's our V3 appliance, which is our desktop virtualization, and it's our SnapServers and SnapScale platforms, which is our data management and storage virtualization solutions. 
 And when you think about what we've been developing and what we'll be rolling out over the next 30 days is just that: our hybrid cloud architecture solutions that offers on-premise as well as in-the-cloud offerings. By leveraging all the IP that we have, we have a unique position to deliver a true end-to-end solution and reference architecture for the hybrid cloud.
 So let me start off with the first platform. It's our Glassware platform. Our Glassware cloud solution will be enabled by Microsoft Azure. And our Glassware clients will be providing solutions to on-premise to our customers. The second is the snap platform, our enterprise NAS solutions. We have customers that have been using this. We have installations that exceed over 300,000 today. We'll have our V snap cloud solutions -- again, that will be enabled by the Microsoft Azure partnership. And we have our SnapServer and SnapScale platform that will be our on-premise solutions.
 Delivering solutions that address the issues today and beyond. Our collaboration with Microsoft Azure provides access to virtual data centers all over the world where performance is not sacrificed.  And so just to -- we're extremely excited about the Microsoft and Azure platform, and we're excited about the partnership and the relationship that we developed.
 Let me just highlight what Glassware is able to do. Glassware makes it simple to take software applications from the last 3 years and move them to the cloud, move them to the server technology, our new server platforms and also deliver a hybrid solution, so that you have the ability to leverage the cloud infrastructure as well as use the attributes from our on-premise solutions as well.  They are able to provide access to software, from both the desktops and mobile devices, all without ever having to rewrite or translate any of the code. We accomplish this with the next generation of container technology, a technology that's design to take compute beyond virtualization.
 And then if I move to our virtual -- our V3 virtual workspace appliance. When you look at mobility, you look at desktop virtualization and cloud having transformed the workplace and are now refining the way we work. Virtualization workspace from V3 delivers a distributed architecture and a management layer which we called Desktop Cloud Orchestrator or DCO, something that goes beyond just a virtual desktop. Our dynamic allocation of compute resources on demand allows a work user to have the right resources as well as a high-graphic or high-intensive work user having the right resources on demand, therefore having much better efficiency than the current solutions that are out there today.  We also have the ability to deliver a hybrid cloud architecture, allowing you to leverage both the virtual cloud as well as the physical infrastructure.
 And if you move to kind of the third pillar of our architecture is really our Sphere 3D data management and retention technology. This technology has been developed over the last 35 years, and we now have a solution, our snap operating system, which is truly software-defined storage architectures. And what does that mean? You now have the ability to take the operating system, move it into the cloud, move it into another server platform, a commodity platform, so it actually is separated from the server and from the devices. So when you think about having the ability to have both on-premise storage solutions as well as having it in the cloud and a full enterprise solution around the globe is now set -- going to set a new standard in terms of how you actually manage your storage and manage your data. So you'll have your SnapServer appliance, you'll have SnapServer in the cloud, you also have a global hybrid architecture that delivers a virtual data center in the cloud or in a physical data center solution.
 The second piece to this is our patented Sphere set clustered architecture. We're now delivering one of the most scalable solutions in the market today. The architecture, it handles 36,000 nodes, and we can scale to over a hundred -- hundreds of petabytes. And we now have a -- what we call a geo-cluster solution, which means you can have our products put across different solutions -- or different locations around the globe, but work as one.
 And then the final one is our RDX transportable backup architecture. We own the IP for this. We have either people that are buying our backup solution, either buying it through our brand, buying it from our OEMs or buying it from one of the licensees. It provides a seamless solution to store and migrate data from a physical to a virtual cloud environment. And today, the RDX platform has over an exabyte of storage installed on those particular devices.
 So if you look -- if you step back and say the Sphere 3D portfolio, it includes our cloud and our virtualization architecture with our V3 appliance and our Glassware platform and architecture. Our unified storage solutions are SnapServer or SnapScale which allows you to have a hybrid solution. You can either deploy in the cloud or deploy it on-premise. And then you have our transportable backup appliance which is our RDX technology. And then, our long-term retention and archive solutions which is our NEO brand, our tape libraries.
 So we have a full hyper-converged infrastructure that can either be in the cloud, it could be on-premise or it can be a hybrid, which is really what customers and the industry needs to solve the problems I highlighted earlier.
 So let me talk a little bit about the Microsoft strategic alliance. You may have seen some news about that lately. We have been developing our platforms in collaboration with them to be able to deliver this solution that the market is looking for, a very unique solution that integrates Glassware, integrates our NAS operating system with their Microsoft Azure platform. 
 And so what we have announced is that on May 20, just a week from today, we'll be at the Microsoft Technology Center, showcasing our product lines, talking about the products and how it works with Azure, highlighting and demonstrating our hyper-converged infrastructure and beginning to rollout the Glassware appliance platform and rollout the Glassware cloud platform as well as the SnapServer platform in the cloud as well.  Seven days later, we'll be -- May 27, we'll be in New York, again, in Times Square at the Microsoft Technology Center, showcasing the platforms and the relationship and the partnership on the East Coast. On June 17, we'll be in Toronto, again, at the Microsoft Technology Center, highlighting the products and the relationship and the collaboration and showing some unique things that people have not been able to do, the company has not been able to do without such a technology and a partnership with Microsoft. We'll be going to London as well, the date will be determined later. But we -- so we'll have 4 locations: the Silicon Valley, New York, Toronto and London. And then, we'll actually have a special event, and hoping that everyone here will attend. We will have an evening on June 15, at the NASDAQ, partnering with Microsoft. We'll be talking about the technology again and showcasing some of the platforms and some of the products that we -- we'll probably have announced by then and demonstrating those and talking about the customers that are using them.
 The other thing that we've been working on is a joint marketing and sales strategy with them. Their -- the Microsoft Channel 9 has been talking about the partnership and the products that we're rolling out. It's been reaching out to over 6 million bloggers. We have a campaign -- a marketing campaign that will be targeted to over 1 million IT decision makers, tech enthusiasts, B2B industry-focused individuals. And you may have already received the newsletter targeted at 1,500 partners really highlighting the solutions that we have uniquely developed and been delivering to the market.
 So just to kind of recap kind of the Sphere 3D/Microsoft platform and what we're rolling out. First, our Glassware 2.0 cloud-only hosted solution on Azure; our Glassware 2.0 hybrid-hosted solution on Azure and also on-premise; our SnapServer platform; Microsoft supporting that -- our NAS enterprise solution; and the Microsoft Azure platform as well as some -- the SnapServer hybrid solution, where customers have the ability now to run multiple use cases, whether it's having data on-premise, replicating that back to the cloud; disaster-recovery solutions, either on-premise or in the cloud, depending on the architecture that you deploy.
 So I just wanted to say we are extremely excited. We are -- of the progress we've made, and we're excited about the partnership that we have with Microsoft and others that we have highlighted over the last 30 days. 
 But with that, I'd now like to pass the call over to Peter, our President, to give you more detail on the progress that we have made. 
Peter Tassiopoulos: Thanks, Eric. First off, everyone, let me thank you guys for joining us today, taking the time out of your busy schedule to hear about what we've been working on. I think Eric didn't mention it, but I'll mention it. I'm sure you guys can tell, this is not a taped call. For those who understand from the last call, we decided it's probably best to do this one live and give you guys also a much longer opportunity to ask some questions today, so I'm going to try to keep it brief.
 So I just wanted to do a quick recap. A couple of verticals that we've been focusing on, why they matter to us, and some of the recent success. First off, of course, you guys are probably quite familiar with how much work we've been putting into going after that educational vertical market. Just to sort of recap why, I mean, we're talking about a market that's spending about $19 billion globally on technology for the classroom. If you look at the trends in the market today, I don't think you could pick up a newspaper and not read an article about another school or school district who's buying devices for their students or trying a bring-your-own-device deployment to try to put technology in the hands of these kids and help them find new ways to learn and access information.
 So if we look at that, let's just do a quick recap, some of the news you've already seen. As you know, we had announced a school district who deployed Glassware earlier. And just recently, we announced something about a region who have actually partnered with us to deliver our technology into their region. Now this particular region is in the Southern U.S. It's about 1 million kids that they support. They're very well versed in technology. They've supported other global brands in their deployments and their end points. We're pretty excited about what this means for us. We already had our first joint marketing event last week. As a matter-of-fact, we have a couple more lined up for the next couple of weeks and a major one in June. So you'll be hearing more about that. And when we look at it, what we've done with them, we basically put them in a position to deliver our technology into their districts. And then also  entered into them -- with them an agreement to set up a fund for some of the underprivileged locations within their region, their state, to help them get access to some of the technology otherwise they couldn't afford.
 And keeping in talking about the education vertical, I want to talk a little bit about how our vertically integrated stack works and some of the customer success we're having.  So to give you an example, we recently sold a Glassware system to a independent school district, specifically to deliver applications to the kids. Within 30 days, we were delivering a V3 appliance, so that faculty could get access to a complete desktop for their needs. And while we were there, we recognized the opportunity for data storage, both from the new V3 system that was creating it, but also from the renewed interest in safety for children. A lot of these schools are now deploying cameras and video surveillance. These are devices that create an inordinate amount of data that needs to be stored. And so next thing you know, we've actually moved in our storage product as well and integrated them throughout the school district. So as an example of what we're trying to do and what we're actually delivering into the marketplace is the ability for them to have a product portfolio that actually fits from beginning to end to deliver these virtual workspaces that you keep hearing us talk about. So -- I mean, I'll leave it at that on the education market and, again, if there's any questions about what we've done with that region, I'll take those after -- during the Q&A period.
 Let's focus a little bit about the healthcare vertical and some exciting news that we made today. First off, when we look at the healthcare vertical, certainly, you want to talk about our market. I believe, healthcare is the largest sector in the U.S., north of $2.5 trillion in the last -- last year in expenses. I think the IT spend represents about $450 billion as of 2014 based on what we saw from recent a McKinsey study. So when looking at the healthcare market, obviously, we are pretty excited when we look at what they spend in IT. And some of the surveys that we've read, including things like hospitals identifying that thin clients and 0 clients is their preferred endpoint, even over traditional workstations.
 And so with that, let's talk a little bit about one of our recent wins, which is just few hours ago. As you guys are probably aware, we've been working with a company called Novarad, out of Utah, for quite some time. Fantastic partners. We spent the last -- quite a few months, 8, 9 months, actually talking to them, talking to their customers and designing a full solution that would deliver a virtual workspace that has the clinical workflow within it. Credit to our staff who's worked closely with Novarad to design this. And in the end, what we've done is actually come up with an agreement with Novarad to refresh their customer list, the ones that are currently already working with Novarad, PACS as well as their risk systems. So these are actually Novarad customers, existing customers versus net new. In addition to what we're doing with this customer base, which right now, it looks like approximately 400 locations, is what we'll be refreshing, we're also obviously going out to market with them with this full solution for new business as well. So we're pretty excited about that. And what that means for us, we think that will be incremental and start to generate revenue for us in Q3. And we'll continue to rollout. Obviously, as we get success, we'll do our best to try to expedite the schedule when we can get these things out and into the field.
 And the last thing I just want to talk about is some of the new business models that Eric touched on and what we're doing with the cloud and how we're going to be focusing more of a horizontal view. And this is really about putting some of these products into the cloud and actually opening them up with much less or lower touch point from our organization, allowing organizations to pick. And now with the flexibility, that elasticity that cloud can offer, they are able to actually design, without a lot of work from us and, therefore, you'll see less of a vertical focus on the cloud side, and more of a horizontal view.
 With that, I'll leave it at that for now. Like I said, we're going to be taking as many questions you guys have. So I'm going to turn this back over to Eric for some final comments, and then I'll be available for the questions. Eric? 
Eric Kelly: Thank you, Peter. It's interesting as we're preparing for the call, we realized it was just 30 days ago when we actually had our last earnings update. And it's amazing on the -- the amount of progress and the momentum that we've picked up in 30 days. And we're making a pretty strong pivot. The company is pivoting to become a software company, focused on virtualization, cloud and mobility. We're going to continue to leverage our foundation in terms of our channel, our partners and our technology and our installed base. But we're focusing on our high-growth areas. We're shedding the areas in the businesses that we are -- that we consider commodities, our low-margin businesses, and focusing on the technology and the growth ahead of us.
 I just expect to see -- just what we rolled out, you should expect to see similar progress in the next 30 days. And I just want to say thanks to the team on behalf of the executive team and the employees on behalf of the work that they've been doing as they've been working around the clock. And I look forward to seeing everyone in New York on the 15th of June.
 Now I'd like to turn the call over to Kurt Kalbfleisch to give you the update on the financials. 
Kurt Kalbfleisch: Thank you, Eric. Good afternoon, everybody. Let me provide some detail on our financial results. Please note that following our financial highlights of our first quarter 2015, our reported financial results reflect the addition of Overland operations for the full 3 months, as the acquisition was completed on December 1, 2014. This is the first full quarter of results for the combined company.
 Total revenue for the first quarter of 2015 was $20.1 million compared to $0.9 million in the same quarter of 2014.  OEM revenue for the quarter was $4.1 million or 20.4% of total revenue, with branded product revenue of $13.1 million or 65.2%, and warranty and service revenue of $2.9 million or 14.4% of total revenue for the quarter.
 Regionally, the branded product revenue was 14% in APAC, 30% in the Americas and 56% in EMEA. As Europe branded product shipments are currently sold and billed in euros, there was a negative impact on revenue during the quarter due to the exchange rate fluctuation. The change in exchange rates during the quarter reduced our total top line revenue by approximately $1 million during the first quarter.
 Total product revenue for the first quarter was $17.2 million, while warranty and service revenue in the first quarter totaled $2.9 million.  Total product revenues from the same period last year was $0.8 million, and there was $0.1 million of warranty and service revenue.
 Disk systems and virtualization revenue was $10 million in the first quarter of fiscal 2015 compared to $0.8 million for the first quarter of 2014. Tape automation and other tape-related products was $7.2 million. As this category of products was contributed from our acquisition in December 2014, there is no comparable amount in Q1 of 2014.
 Our gross margin for the first quarter was 29.6% compared to 56.9% for the first quarter of 2014. The gross margin includes the amortization of intangible assets and cost of goods sold in the amount of $0.6 million for the first quarter of 2015. When excluding the amortization related to the intangible assets, gross margin was 32.7%.
 Total operating expenses, including share-based compensation for the first quarter was $13.6 million compared to $1.3 million in the same quarter last year. The $13.6 million is broken down as: $5.6 million for sales and marketing; $2.2 million for research and development; and $5.8 million for G&A.  Within the G&A expenses is approximately $1 million of amortized related -- amortization related to intangible assets.
 Total share based compensation expense included in the operating expense for the first quarter of 2015 and the same quarter last year was approximately $0.7 million.
 Depreciation and amortization expense in the first quarter was approximately $2 million compared to $0.1 million in the same quarter last year.
 The net loss for the first quarter of 2015 was $9.5 million or a loss of $0.27 per share compared to a net loss in the same quarter of 2014 of $0.8 million or $0.04 per share. 
 Adjusted EBITDA, which excludes stock compensation expense, in addition to interest, taxes, depreciation and amortization was negative $6.1 million or a loss of $0.18 per share for the first quarter.
 On the balance sheet, total cash and cash equivalents at March 31 was $4.4 million compared to $4.3 million at the end of 2014. At March 31, we had $9.9 million outstanding under our credit facilities and $19.5 million outstanding under our convertible notes.
 As announced earlier today, Sphere 3D has entered into definitive agreements for a placement -- a private placement of shares of its common stock and warrants for gross proceeds of approximately $4.1 million. In addition to the equity agreement, FBC Holdings has agreed to -- in principal, to increase the existing revolving credit facility by an additional $5 million. The terms of the increase are expected to be the same as the current agreement.
 With that, I will turn the call back to Eric. 
Eric Kelly: Thank you, Kurt. What I'd like to just recap with is, when you -- when I mentioned the third platform, that's really the definition by IDC in terms of mobile, Big Data and social, which is applications. We actually call it internally kind of the next-gen architecture which is beyond the cloud.
 But I think what I'd like to do now is turn the call over to the operator, so we can open up and answer your questions. Operator? 
Operator: [Operator Instructions] And our first question comes from Krishna Shankar with Roth Capital. 
Krishna Shankar: Eric and Peter, can you talk about the timeline for ramping up revenues with some of these new, strategic arrangements that you have with the Microsoft Azure, and also with the 2 vertical markets you have talked about, education and healthcare, in terms of the timeline of rollout of both the cloud virtualization and storage offerings, kind of how the revenues will ramp? 
Eric Kelly: Chris. It's Eric. Yes, I'll start, and I'll let Peter jump in. I think in terms of the timeline of the rollout, we actually said a week from today, and hope you're going to join us in Silicon Valley, we'll be rolling out and announcing and showcasing our Glassware and Azure. We'll be showing our software-defined storage platform inside of Azure as well as how the hybrid solution works. And we have -- with the announcement that we just made today, I think we highlighted that we will have a 90-day rollout, and we'll continue to roll out the solutions at Novarad. So it's really just running as fast as we can, Krishna. We have more opportunity than we can actually handle. So we're pretty excited about that. We haven't given any forward-looking projections in terms of the revenue, but I think just understanding, putting your platform inside of Microsoft Azure, you now have a global footprint. So you look at the customers, if you don't have access to your technology, both on the virtual app side as well as the virtual storage side. We have signed a pretty significant contract with Novarad. So a lot of opportunities, but we haven't really started giving forward-looking projections in terms of the timeline of the revenue. I don't know, Peter, if you like to add that to that as well? 
Peter Tassiopoulos: No, I mean, the one thing I can tell you is that, as you know, Krishna, with the new models come -- new revenue models, obviously, having the consumption model out of the cloud will allow us to ramp up probably a little bit quicker than what we've seen so far. We spent a fair bit of time trying to lay the foundation, so that the ramp-up period gets shrunk to the lowest possible period. 
Krishna Shankar: Okay. And then in terms of the traditional standalone products, whether it is storage, the tape backup, can you talk about how those are doing in the new organization and some of the headwinds that you've seen in terms of the macro, whether it's Europe or FX? So can you talk about those trends and how they will shape up in the second quarter? 
Eric Kelly: Well, so I'll let Kurt talk about the FX, but the exciting thing, Krishna, and what we're seeing happening, and Peter just gave an example. As we broaden our solutions, both from a physical to a hybrid solution, the cloud is actually increasing the demand for the traditional product line. Because if you think about if you want to have storage, you either want to have it on-prem or in the cloud. And a lot of times, they want to have both. They want to have a enterprise solution, where they can have disaster-recovery footprint, either on-premise or in the cloud. So by -- if you just think of the hybrid-converged market, I mean, I think that's growing over 30% year-over-year. So we're hitting some really strong inflection points. We're seeing some really strong pain points in terms of what's happening. But as Peter highlighted, you started off with Glassware, but then they looked at -- they needed to use it -- our virtual desktop. And by the way, they need storage. So if you think about the strategy that we laid out, it's actually coming into fruition in terms of having that complete solution. And to be frank, I mean, when you look at the IP that we have, I mean, we're one of the few companies that actually can deliver that full suite of solutions from a virtualized application to a virtualized desktop to a virtualized storage infrastructure. And that was the -- I talked about this, Krishna, for quite some time, the overall strategy in terms of how you pull all this IP together, how you make sure you to have what IDC calls "the third platform." And I can tell you when we met with them, they didn't expect Sphere 3D to be the leader in the third platform. And so you see a lot of that happening, and I think it's helping us on both sides of the equation. Sort of a long answer to your question. I think you'll want -- Kurt can talk about the FX impact, because we do have a major part of our business in Europe. 
Kurt Kalbfleisch: Krishna, yes, this quarter was a bit unique obviously versus anything that the company had experienced in the past, related to the significant move in the Euro and dollar relationship during the quarter as compared to the prior quarter. And with all of the number of sales that we have going into Europe that are built that way, that's why I pointed it out in my prepared remarks, that this was a unique quarter in that respect, and we obviously have not seen that type of movement since that time. And so obviously, not knowing what's going to happen in the future, but we certainly are keeping an eye on it in relation to our practices on a quarterly basis. 
Peter Tassiopoulos: And we have made -- and Krishna, this is Peter. We have made some adjustments as well since the first quarter to account for the change in the FX. 
Krishna Shankar: Okay. And then just one follow-on question, Kurt. I see the press release regarding the private placement that you did to your -- this afternoon. So can you talk about kind of the cash position now and what kind of the OpEx trends and the cash burn might be near term in the June quarter? 
Kurt Kalbfleisch: Yes. We've obviously, we were able to hold the number basically flat on our cash between December and March with what we had in place. We felt it was important in order to make sure that we can support the growth objectives that we have out there, that we did a little bit more on the capitalization side. And that's why we went forward with this private placement as well as the expansion of the existing line of credit that we have with FBC. We have an agreement in principal on that as well to allow the ability to operate moving forward. 
Operator: And we'll go next to Sammy Milton, private investor. 
Unknown Attendee: I wanted to ask about the Microsoft relationship in regards to after the roadshow and so on, and showcasing the Glassware technology at the Microsoft Centers, whether you see Microsoft further on marketing, sort of the Glassware solutions up to -- also actively from their side. 
Eric Kelly: Sammy, this is Eric. Yes, the relationship and the alliance we have with Microsoft is long term. I mean, what we've rolled out you is Phase 1. So it's going to be a much -- we're very happy with the relationship. I mean, Microsoft and -- has been very instrumental, understanding our technology. They see the requirement, not just here in the U.S., but on a global footprint, in terms of what Glassware, what our virtual enterprise NAS solutions can provide to their customer base as well as ours. So this is a long-term partnership. And I think what you're seeing now, I can tell you is just the beginning. 
Operator: And we'll go next to Hubert Mak with Cormark Securities. 
Yiu Kau Mak: As you guys indicated here, you have new products being launched as  going forward here in the next few weeks and going forward. Some of these are coming from partnerships like Microsoft and -- or Novarad. How do think about the sales pipelines building here? And how quickly can these turn into revenue here? And then as well, earlier this year, you provided sort of a goal here for Q4 around $40 million in revenue or $160 million annualized run rate. Like how much are these partnerships accounting for that ramp from what we have today, about $21 million revenue to your goal here in Q4? 
Eric Kelly: Sure. It's Eric. I think it was a 2-part question. I don't know, Peter, if you want to take the first part. 
Peter Tassiopoulos: Sure, absolutely. 
Eric Kelly: Okay. 
Peter Tassiopoulos: So as you know, Hubert, putting together these types of relationships, as is evidenced by the time it took for us to announce the Novarad rollout schedule, they take some time. So when we sat back and looked at what this year would look like and set organizationally our targets, we obviously were familiar with the projects we were working on, right? And so naturally, what we were working on from a cloud perspective, what we're working on and -- with Novarad, and what we're working on with many others are all part of contributing to that growth ramp. And of course, we've been at this for quite some time, so we took those into account as to where the growth is going to come from. It includes some of the new products that you're seeing right now, yes. 
Eric Kelly: I think that was part 1 and part 2. 
Peter Tassiopoulos: I think it's important to reiterate what Eric said as well is, it's also -- there is some shedding that's taking place of what we consider -- are products that we don't consider part of our core, right, and products that we don't really see as being part of our approach to the virtual workspace and solution-based selling. And that's also sort of accounted for in terms of what we've been doing. 
Yiu Kau Mak: Okay. And then, on the cost side, what's the thought here on the gross margin? Should we expect that to move up as these new products get rolled out hitting in the back half of this year. And sorry, I may have missed the answer on the earlier question, but -- as well. I guess that related -- is the OpEx here, obviously, the question is, are there -- is there going to be any increase in OpEx with these new products -- like to support these new product launches? 
Kurt Kalbfleisch: Yes, this is Kurt. I'll take those. As we move forward, we haven't given you any specific indication obviously, of percentages. But we do expect to see, over the course of the year, improvements in gross margin as the product mix changes and moves more towards the cloud offerings, et cetera, as a percent of the total revenue. And I believe that was the first question, and I'm sorry, your second? 
Yiu Kau Mak: It's regarding the OpEx, whether there is any recent, I guess, sales or marketing or any of infrastructure increases. 
Eric Kelly: Hubert, this is Eric. I mean, when you look at where we are today, I mean, the exciting thing is that we are hitting a pretty amazing inflection point. You think about the opportunities, whether it's with Novarad, whether it's with the school district that has over 1 million students, and you think about all the other opportunities that we discussed in the past, you start looking at the requirements to make sure that you can manage the growth. And so I don't know if it's a OpEx spend, but it's definitely going to be opportunities where we're going to have to leverage our balance sheet to make sure we can handle the growth. And that's the exciting part, right? I mean, that's what, quite frankly, we've all been waiting for to hitting this inflection point, so we can achieve kind of the opportunities that we've laid out. I don't know, Kurt, if you want to add to that or...? 
Kurt Kalbfleisch: No, the only thing I'd state is, specifically related to OpEx, we've made some adjustments since the combination in December. And we're going to be very strategic as our spending goes forward, and that was -- that will be laid out in more detail. But going forward, we don't expect to see significant expansion on the OpEx line. 
Operator: And we'll go next to Jim Kennedy with Marathon Capital. 
James Kennedy: I want to drill down a little bit more on what Hubert was referring to. Help me with one thing first. We reported a stub at the end of '14 of about $9 million top line, if I recall correctly, and that was for about a 30-day period. Kind of -- can you reconcile that for me as to why I could not say, quarterize that into a $25 million, $27 million quarter? What was -- what happened in December that did not happen in the first quarter? 
Kurt Kalbfleisch: Yes, Jim, this is Kurt. Let me go ahead... 
Peter Tassiopoulos: Kurt, hang on a second, because I can give you a very simple one, Kurt, before you go a long road. I think there is, and I've heard this question a couple of times, Jim, so thank you for asking it in a forum where everybody can get the answer. That was 30 days of the Overland business and 90 days of the Sphere business. So a simple times 3 wouldn't equate to the quarter, is the answer. 
James Kennedy: Okay. So that was 30 days of Overland...? 
Peter Tassiopoulos: Right, because there was 30 days of Overland, but a full 90 days of Sphere 3D. So if you just multiplied it by 3, that wouldn't be a true reflection. The other part is -- for your having been I guess, an Overland shareholder for a while, as you know the third month is usually slightly above -- not always, but quite often, could be a little bit higher than the first couple of months of a quarter. But it's not -- unfortunately, it's not 100% linear to multiply it by 3, because there was different businesses for different periods of time at different cycles of the quarter. So you need the full quarter to start to assess it in order to look at what the actual quarter-by-quarter comparisons are. Kurt, how did I do? 
James Kennedy: Okay. This quarter going forward, are you going to delineate the revenue based on either the areas that Eric talked about, or the Sphere versus storage areas? 
Kurt Kalbfleisch: Jim, let me go ahead -- let me just expand on Peter was talking about in your first question. Historically, when you look at the business related to the acquired side from Overland, usually, better than 50% of the quarter was driven in that final month of any quarter for us. And that was stuff we'd made public. That wasn't a secret, so that -- in addition to the specifics around the full 90 days related to Sphere and the 30 days related to Overland, that third month in the December quarter is usually about 50% of the total revenue, if not better, related to the acquired assets. 
James Kennedy: Okay, fair enough. Now on a go-forward basis, will you be providing some clarity on the revenue in terms of the sources? 
Kurt Kalbfleisch: At this point, at a future date, we probably will. But we don't have that in the plan right now. We're currently going to continue to report on the distributions we have and not bifurcate those sections further at this point. 
James Kennedy: Okay, and coming back to Hubert's question about the $40 million last quarter. Are you -- I mean, I can't imagine any reason why we would be going backward
 from a top line perspective. If $40 million is the target for the last quarter, should we expect something somewhat linear? Or are you looking at this thing being very back-end loaded? 
Eric Kelly: Yes, Jim. Thanks for asking the question. When you look at kind of the foundation we laid, it's going to be back-end loaded. I mean, what we're looking at, if you think about the ramp with what we've laid out with Novarad, we laid out with Microsoft, et cetera. It won't be linear. And I would not expect kind of then -- I have never seen an inflection point linear. So I wouldn't expect this one to be linear. But you -- what we've been trying to do and -- is provide the measurement so everyone can see what -- how the foundation is being laid out, such as the contract with Novarad, such as the contract with the school regent. I mean, so you can start looking at how we're layering the revenue plan to accomplish what we laid out. And just to kind of highlight a little bit more from, and Peter will probably weigh in on this as well. In terms of -- from a competitive standpoint, we want to make sure. That we don't lay out too much detail in terms of how the virtualization business is growing relative to the rest of it. And if you look at, I think Amazon just made their announcement. I think it was the first time that they've ever broke it out after billions of dollars of revenue. So we're trying to make sure. That you get as much visibility into kind of different parts of the business, but not put us at a competitive disadvantage as we start running the table on some of the things that we're working on. 
James Kennedy: Okay. And then on the OpEx side, I can't quite tell from the release, I'm sure it will be in the Q, but approximately what's our OpEx run rate? 
Kurt Kalbfleisch: Jim, the run rate this last quarter we were at $13.3 million in -- I'm sorry, $13.6 million in OpEx. And that, as we stated in my remarks, includes about $1 million worth of amortization associated with the intangibles. 
James Kennedy: Okay. So that's a GAAP number? 
Kurt Kalbfleisch: The $13.6 million is a GAAP number. 
James Kennedy: Okay. And non-GAAP was -- I you see you got, what, about $2 million in depreciation and amortization? 
Kurt Kalbfleisch: Yes. In total, our depreciation and amortization is $2 million. 
James Kennedy: Okay. So you've got -- it looks like about $2.6 million coming out of that. So your non-GAAP OpEx is somewhere in the $11 million range? 
Kurt Kalbfleisch: Yes, I think in the $11 million to $11.5 million, and on an annualized basis, it will be around that $45 million run rate based on the first quarter. 
James Kennedy: Okay. And I'm sorry, I think this may have been answered earlier, but do we expect that number to trend down or we're not commenting on that yet? 
Kurt Kalbfleisch: We're not commenting on the exact trend, but I would not expect to see it trend down. 
Operator: And We'll go next to Patrick Lauder [ph] with P&L Consultants. 
Unknown Analyst: Yes. Just a couple of questions. One is could you update us on the project that you're having with Ericsson to create a point of concept. I think it's something that we're all interested in. And the other thing is -- well, I'll let you deal with that and I'll ask the second next. 
Eric Kelly: Peter, you want to take that? 
Peter Tassiopoulos: Yes, sure. So Patrick [ph], unfortunately, we're not actually in a position to discuss where we sit with Ericsson, other then what's already been announced. So I'd love to, but I can't give you any more color at this point around Ericsson. Anything changes, obviously, we would definitely be out there either through PR or through our next update to keep our shareholders up to date. But there is not much that I can add at this point, unfortunately. 
Unknown Analyst: It's still in place the other thing [indiscernible]? 
Peter Tassiopoulos: Correct. Yes, yes. No, there has been -- we're still involved. I just can't give you an update as to what that means. 
Unknown Analyst: But will we be getting an update at one point this year? 
Peter Tassiopoulos: Well, we do our best to try to keep our shareholders as informed as possible. And certainly, anything that we do that requires us to come out and talk about we will, without a doubt. 
Unknown Analyst: The other question is are you still standing by that goal of $160 million run rate by the end of the year? 
Eric Kelly: Yes, absolutely. So that's still our plan. And we're trying to -- I'm sorry, go ahead. 
Unknown Analyst: And over time, this year, will you actually make a -- make that more solid from a goal to an actual sort of official -- I forget the word. It escapes me. But make it a bit more solid than just your goal is to make that type of thing? 
Eric Kelly: I'm not sure what you mean by that Patrick. Can you kind of make it solid versus a goal. Can you update that? 
Unknown Analyst: Yes, well, usually something just come out with an amount that the stock market come to what that is as the earnings come out type of thing that make a bit more solid in goals. 
Peter Tassiopoulos: Eric, I think Patrick [ph] is asking you whether it's deemed guidance. 
Unknown Analyst: That's it. Guidance is, in fact [indiscernible]. Sorry, I'm getting so old here. 
Eric Kelly: Okay. No, I mean, Kurt, you can address that if you like. But we've come out with our kind of with our benchmark in terms of what we're planning for. And I'm not sure, what else you would like us to say about that, Patrick [ph]. [indiscernible] 
Kurt Kalbfleisch: Patrick [ph], this is Kurt. As we move through the year, we will certainly be providing some additional details on the forthcoming quarters. But at this point, I think that's about all we can say. 
Unknown Analyst: Okay. The last question is, I guess you couldn't talk about this, but I'll ask it anyway. Is there any involvement with you and Microsoft in their actual server operating system with the containerization stuff? 
Eric Kelly: Yes, well, we think you already answered that question. 
Peter Tassiopoulos: Sorry. Well, just in case, no, we can't answer that. Okay? Sorry, Patrick [ph]. 
Operator: [Operator Instructions] We'll go next to Michael Cappuccitti with Foster & Associates. 
Michael Cappuccitti: Fortunately, I suppose, gross margins FX and the private placement were all answered. So... 
Eric Kelly: It's amazing how fast 30 days go by. And when we, I'd say, when we were preparing, it was amazing that we just we just -- we just talked on March 30.
  And it's amazing. And again, hats off to the team and the 24/7 hours they're spending. And I would just say hats off to our partners. I mean, once they saw what we were doing, I mean, I think anyone who's been in technology, I've been in technology for over 30 years. I won't to tell you, it's almost 35 years. And when you have an alliance partner, such as Microsoft or -- and they move that fast, it kind of gives you indication on their belief and the market opportunity with the technology and the partnership.
  Because it wasn't just us moving fast, 30 days. There was our friends and our partners there in Redmond moving just as fast. 
Operator: And we'll take a follow-up question from Hubert Mak with Cormark Securities. 
Yiu Kau Mak: Just a quick question here on this Novarad announcement you just had today, are you able to give us sort of the relative size of this deal, given you guys kind of talked about 400 facilities, like you don't have to give me an exact number but can you kind of us a range of the relative size of this. And then just so we can frame it compared to other partnerships like Microsoft? Like what was this -- right, can you give us color on that? 
Peter Tassiopoulos: So I'll do my best. Obviously, we can't disclose the financial metrics or else we would have loved to have done so, right, in the press release. What I can say is understand that these 400 locations vary in size dramatically. And they're everything from small radiology clinics to substantial hospitals that are using this Novarad product within their radiology departments. What it does do for us is give us a foothold. And I haven't done the homework on this so don't quote me on this one, Hubert, but I haven't come across a single multisite deployment of virtualization anywhere near the scale, not in the sense necessarily of end points in terms of just sheer number of locations. And when we're done, what Novarad will have completed, is basically have put in place the ability to upsell and continue to deliver end points as users require them and given our product and brand access to probably the largest single, again, deployment for virtualization across healthcare facilities. Even though, again, like I said, it's not from a number of endpoints. I think as the third quarter rolls out, then you'll start to see probably some more metrics around what each location is worth. And I think we'd have to leave it at that but we could probably walk you through maybe just some of the sizes of their customers when they're willing to disclose that and you could probably do your own math from there. 
Yiu Kau Mak: Yes, okay. And just a quick follow-up on that as well. Obviously, there's a combination of products here. Are there any recurring revenue opportunities? 
Peter Tassiopoulos: Yes. There is. Absolutely, yes. Yes. 
Yiu Kau Mak: But is the majority -- like is there a relative size of it, more storage or...? 
Peter Tassiopoulos: Without getting into the exact detail, there is opportunity in storage because storage, obviously, acts as a razor-razor blade model. But we're talking about virtualization. So there's definitely an opportunity for recurring revenue. 
Operator: And our next question comes from Wesley Root [ph], private investor. 
Unknown Attendee: I have a question regarding -- first of all, it was, for me, a disappointing quarter. I'm not sure that's a great comment but just based on a general overview, it seems like Sphere 3D didn't crank up the software capabilities very quickly. In conjunction like with the app, as a further question, one of the things that concerns me about some containerization, Microsoft seems to promote the partnership aspects of Docker and/or other complements, if you will. At the same time Peter Bookman, who is associated with your company, talks about Sphere 3D being the first and only capability with Microsoft. Do you have any comments on that? 
Eric Kelly: Yes, Wesley [ph] ... 
Peter Tassiopoulos: This is Peter. 
Eric Kelly: Go ahead, Peter. Go ahead. Thanks for asking the question, Wes. Go ahead, Peter. Go ahead. 
Peter Tassiopoulos: Yes, so let's talk about that. And so I believe that Peter had wrote a blog, and I can't wait to see it actually published. And his blog was titled "What's in a name? That which we call a rose by any other name, would smell as sweet." And really, the interesting thing about that is, containers, as referred to, for Docker are Linux-based containers with no heads on them. No head means no UI. We are the only container technology out there that can fully containerize and deliver a full functioning end user computing-based application. Part of the confusion in the market is using the word application. I say app to you, and depending on the context, you're either thinking about Angry Birds, or you're thinking about a microservices running in a server room, or if you're thinking about virtualization, you're actually thinking about Microsoft Office. But they're all called apps. And this is where the confusion starts around containerizing apps. Being able to deliver Microsoft-based containers for Microsoft workloads that include a head or UI, something that you or me would use on our desktop is something that is unique to us. And the fact that you can run a Linux-based container on Microsoft server doesn't give you the ability to bring Microsoft Office and put it inside of Docker. You're not going to run Microsoft Office in Docker. You just aren't. And so... 
Unknown Attendee: So can we run [indiscernible] Docker application that would otherwise be innocuous to what's going on with what's they're able to offer through Microsoft? 
Peter Tassiopoulos: What -- so what -- again, what they're offering through Microsoft is the ability to take a Linux-based kernel and put it inside of a VM sort of run Microsoft. 
Unknown Analyst: I heard you on that. I asked you a further question. Can we then use that application and make that available on Microsoft? 
Peter Tassiopoulos: Correct. 
Unknown Attendee: Okay. That's what I was asking. 
Peter Tassiopoulos: Absolutely, yes. Absolutely. Sorry, I misunderstood the question, Wesley [ph]. But -- yes, so I'm hoping that gives a little clarity because I know this question has been asked before. It is a very unique thing to ask. And when you hear about Nano Server, which I believe they announced about a week ago to optimize the use of containers, you're talking about no UI. So Nano Server won't even support anything with a UI. 
Unknown Attendee: So this is all beating[ph] all of this then you're saying? Was that their offering [indiscernible] next week or what? 
Peter Tassiopoulos: Our technology is the only container-based technology that will allow you to run full functioning Microsoft workloads. The kind of workload that you and I would use in a workstation [indiscernible]. 
Unknown Attendee: So is there something on the 20th or the 27th then? 
Peter Tassiopoulos: I can't comment on what we'll be talking about on 20, 27. However, hopefully, you can make it out. 
Operator: And we'll go next to Brian Sim [ph] with Dan Rogen Management Group [ph]. 
Unknown Analyst: Yes, I have a couple of questions. One, it's been discussed a number of times about this $160 million run rate. Do you expect this to be backloaded towards the final quarter in the year or can we expect a steady increase quarter-by-quarter? 
Kurt Kalbfleisch: Brian [ph], this is Kurt. I think Eric previously answered that, but you may have missed it. We -- He did state that we do expect the year to be more back-end loaded. But that's not to state that there will not be incremental increases between here and there. 
Unknown Analyst: Okay. Second question. I noticed in the financial report, as reported, that now it shows 35 million shares outstanding. Does this reflect the most recent $1.2 million financing you just announced? 
Kurt Kalbfleisch: It does not. 
Unknown Analyst: Can we expect further dilution then to come? 
Kurt Kalbfleisch: Yes. At this point, we're -- we wouldn't comment on any future type of offerings that we may or may not go on and that's why wanted to make sure that the activities that we close out were out there today for everybody's consumption. 
Operator: And we'll go next to Jim Kennedy with Marathon Capital. 
James Kennedy: Quick follow-up. On the financing, how many different folks were involved there? Was that 1 investor or multiple investors? And are they current shareholders? 
Eric Kelly: Jim, this is Eric. Yes. They're both current shareholders, strong supporters. It was 2 investors. 
Operator: We will go next to Scott Shafer [ph], private investor. 
Unknown Attendee: The Peer Set technology, last week was the announcement on 2 patents, which -- they weren't new, but you talked about this Peer Set technology. Can you explain what it does and the problem it solves for storage? 
Eric Kelly: Sure. Scott [ph], this is Eric. Yes. The combination of those patents really solidified kind of our claim to the Peer Set technology. And what it allows you to do is a couple of things: one, it allows you to have what we kind of claim as the next level of high availability because if you think about this and you have one device replicating to another device. Our architecture allows you to have one device replicating to multiple advices, which means if one -- if the drives go down or 1 node goes down or a second node goes down. So you have much higher availability. It also allows you to have what we call geocluster, which now you can have 3 nodes, 3 nodes in 2 different -- or 3 different geographies, but all thinking together. So it really is kind of the next generation of cluster filesystem that you're able to deliver. The other thing you're able to deliver, Scott [ph], is to be able to have these nodes in really dispersed geo, so New York, San Francisco, et cetera. It also allows you to really scale. So if you think about this, we now have the architectures of 36-node -- 36,000-node capability, which means we can scale this to hundreds and hundreds of petabytes. And you think about the current architectures out there, they may get to maybe 20% of that, 30% of that, scalability. So it's an architecture that's been developed by us for, I would say 7, 8 years. And it's one that we're pretty excited about. We actually just made an announcement, a case study with a firm in France that selected us over the competitors because of the salability because of the performance and because of the high availability, which they needed. So it's setting a new standard out there. And hope we find the answer to -- I'm sorry, go ahead. 
Unknown Attendee: And who would be the typical customer? And how quickly would it be installed? And how quickly could you generate revenue from it? 
Eric Kelly: Well, I mean, the good news about it is it's very straightforward to install. So the complexity is really inside not outside so you can drop it into your current infrastructure. The sales process really varies. Typically they will start off with a 3-node cluster, half populated and then it will grow. For example, the case study we announced just recently. They started very small and they grew to over 100 terabytes, just over several months. So you'll start seeing more traction with that. You'll start seeing even some more technology... 
Unknown Attendee: Any examples of companies that would need this? 
Eric Kelly: Yes, sure. I'm sorry. So I mean, and pretty much anyone that wants high availability, let's say, Bank of America, Chevron, any corporation that looks -- that needs high availability, I just named those companies off the top of my head. So don't take it as we're engaged with them but it's companies that need high availability cluster file systems. It can be Sphere 3D with our global footprint. So you can start with medium-sized companies all the way to the large Fortune X corporations. 
Peter Tassiopoulos: And let me add to that, Scott [ph], because this is very, very important. With the Peer Set technology, the Stripe In [ph] technology, the speed at which we can actually store data and the fact that it's designed for unstructured data more so than structured, 80% of the data being created today falls into the category that would need a product, that would look like SnapScale versus some of the current bell weathers that are selling some pretty big numbers, but their product's not necessarily geared up towards this type of growth. And so if you look at it, which is kind of unique, if somebody wants to tell you the company that is going to be able to offer the most scalable architecture for storage in the world, it's actually Sphere 3D, I mean, would you believe it? And the reality of it is that not by a little but by a lot. And so if we look at the capacity for what we do for SnapScale, we're not only the most scalable product in the market, up and out, which is unique to us. It's by a significant factor. 
Unknown Attendee: Okay. Can you shift your data between public and private? 
Peter Tassiopoulos: It becomes a cluster. So you can actually cluster up and have data storing to the cloud back to your   device. They see them as nodes. And so today, Eric's talked about virtual Snap. And being able to put it up in the cloud, your device and your location, Scott [ph], will see that cloud-based virtual version as a node. And it will write to it as if it's local. And if you're logged in to your virtual one, you can assign a local node and it will see it as part of its cluster. And absolutely, yes. It's very exciting. 
Unknown Attendee: So you can split it up? 
Peter Tassiopoulos: Absolutely. 
Eric Kelly: Yes, if I can just add to that, Scott [ph], because I mean, that's one of the unique and exciting features, that if you think about owning your own operating system, that was one of the key partnerships with Microsoft. Because we actually can put that market -- that operating system on our physical device. It also can see -- be in a virtual environment in the cloud and they can talk to each other whether they're physical and virtual. And so you have the replication going back and forth, you have the high availability both on-premise and also from a global footprint. So yes, I mean, you're absolutely right in terms of kind of where we've taken this technology. I mean, so when people talk about software-defined storage. They really didn't think about the next generation software-defined storage that's also the hybrid solutions in the cloud or on any physical device. And so, you'll see that... 
Unknown Attendee: Okay. When you write the data, you're using software. So this is software? 
Eric Kelly: It's all software. It's our own operating system. It's all software. 
Unknown Attendee: License, channel revenue share, how are you -- what's the revenue model with that? 
Peter Tassiopoulos: All of the above. 
Eric Kelly: We have -- it's a perpetual as well as a subscription depending on what side of the fence you're staying on, whether you're in the cloud or on-premise. 
Peter Tassiopoulos: These cloud offerings will actually build by the hour, Scott [ph]. Literally, they will build by the hour. 
Eric Kelly: Okay. So when you see this offering, Peter kind of hinted to it, you now have the ability, not just a subscription model for the year, for the month. It can be by the hour. And so when you have burst requirement and you have your physical device and you're maxed out, you now can leverage that in the cloud and vice versa. So it's very exciting, it's very exciting. 
Unknown Attendee: So what you're doing, from apps, desktops to storage, you're doing it all? And as a final -- the end part, the storage part is really the biggie, where you're able to shift the data around, where you want -- have access to it. And with Glassware, you'd be able to retrieve it, any device in the operating system. So you're kind of soup to nuts and all the way back again with this? 
Eric Kelly: Soup to nuts, the entire workflow and yes, there is kind of a thesis that's out there. If you have someone using your applications and they're using your infrastructure, they're going to use your storage and vice versa. So you want -- soup to nuts is probably the best way to describe it. 
Operator: And our last question comes from Patrick Lauder [ph] with P&L Consultants. 
Unknown Analyst: Just a final follow-up question. There's a lot of discussion on the web and the chat boards and stuff about your role with Microsoft and people are trying to down -- some people are trying to downplay it, thinking it's just like any other standard partnership that Microsoft has with thousands and thousands of companies that are trying to sell their apps. So basically, without divulging, I know you can't divulge it too much. But will we understand that relationship by the end of this year. And will we understand the relationship more starting on the 20th and the 27th, or will we understand it more deeply after the 15th? 
Eric Kelly: Well, I mean, the good news, Patrick [ph], I don't go to the chat boards. I don't know what they're saying. But I can tell you in terms of the partnership that we have and the relationship we have and the alliance we have with Microsoft is brought from technology to productization, to marketing, to sales. And we're collaborating on all fronts. So in my 30 years, I've had a lot of opportunities to work with Microsoft and other companies like them. And this is as broad as it gets. So... 
Peter Tassiopoulos: Yes, if I could add to that, Patrick [ph], and not just specifically to Microsoft, we don't see any reason that we would announce on the agreement, where somebody became just our supplier. So I think, if that's what you're alluding to, that's not what this is. 
Unknown Analyst: Okay. And will we know more about it as the year goes on. I mean, will you give... 
Peter Tassiopoulos: Absolutely. 
Eric Kelly: Absolutely. 
Peter Tassiopoulos: Over time. Absolutely. 
Eric Kelly: And Patrick [ph], where are you located? 
Unknown Analyst: I'm up in Montreal, Canada. 
Eric Kelly: Okay. I was going to say... 
Peter Tassiopoulos: June 17 in Toronto. It's not that far. It's only a 5-hour drive. 
Eric Kelly: June 17. And if you need to come sooner, come down to New York on the 27th. 
Unknown Analyst: Yes, I think I have another visit on, actually, June 15 at New York ringing the bell there. That's the one that sounds interesting. Could I just ask a -- possibly if you can help us out with this question. On your site, because there was a note saying that Microsoft was going to be a keynote speaker and then all of a sudden it disappeared. Are they the keynote speaker that day? 
Eric Kelly: Well, we will roll that out. But if you saw it on the site, it was probably just we just got a little ahead of ourselves. But yes, I think I may have mentioned it on the call, we do have a special event. They will be there with us on the 15. And so definitely come down to... 
Unknown Analyst: Yes, that's what I'd be coming down to. [indiscernible] 
Eric Kelly: Come on down, you will -- we expect it to be standing room only but we have a lot of things to show. The executive team, Peter will be there. So you have a chance to meet all of us in person. So yes. 
Unknown Analyst: Sounds good. It's not every company that Microsoft attends and is a keynote -- they're ringing the bell now. Just -- you seem to stand out just because of that. 
Eric Kelly: Well, it's kind of what Peter said. It's just not a typical partnership or a typical supplier announcement. 
Operator: And we have no more questions in queue. 
Eric Kelly: Well, operator, I think what I'd like to do is just hold for just a few minutes because last time we disconnected too quick, and there may be some questions coming up. So we want to make sure that we don't do that again. So we'll just see for a few seconds if there's any other questions before we disconnect. 
Operator: [Operator Instructions] And we do have another question. We'll go to Chris Wilson [ph], Chorus Connection [ph]. 
Unknown Analyst: Just a real quick one. With regards to the CUSIP change that you made, has there been any resolution to that at this point of time? Or on top of that, any resolution or reconciliation of the delist potential shares that were down the TSX, when you made that move? 
Peter Tassiopoulos: Sure. I can handle that one. So Chris [ph], I'm not sure exactly what you're asking but from a resolution perspective, if you're referring to whether or not the number of shares reported short on the NASDAQ system reconciled previous activity in Toronto, the answer to that is not that I'm aware of. No. Not sure how the regulator goes about doing that reconciliation and from a corporate perspective, really, there's not much that we can do to address it. So at this point, unfortunately, the answer is no, I don't believe it's addressed it and no, there really isn't much that we can do, but it's not something within our control. 
Unknown Analyst: Is it something that's of concern to you because counterfeit shares, in general, tend to be a concern to most other large, say, funds and things, other entities that might be interested in either covering your product or sorry, covering your company or taking a position in the company. Until that gets resolved, some might be a little bit scared away from doing anything. 
Peter Tassiopoulos: I can't comment on what would drive those types of decision processes, but we have to have faith in the regulatory bodies to do their job. And there's really not much else we can do as a company. 
Operator: And we will take a follow-up question from Patrick Lauder [ph] with P&L Consultants. 
Unknown Analyst: Yes. I was just going to ask the same question he did but now that has been answered. I'd just like to say that the conference call this time was outstanding. Last time we suffered a bit, we couldn't ask any questions but this time the whole presentation for me [indiscernible] very good. 
Operator: And we'll go next to John Bach with Whitmore Advisors. 
John Bach: Yes, you certainly have made great progress on the last 30 days. I was just wondering, if you could give any color on the Glassware client product that might be sold through Promark to individual end users. Has there been any more development on that? And the second question is a little more pointed. Is Microsoft a customer user of Sphere 3D products or will they simply be having an embellished partnership? 
Peter Tassiopoulos: Eric, I could probably take both. John, true to form, we knew you'd ask questions that we probably can't answer. But let me start with the first one. We don't actually intend on doing a consumer direct type product through Promark, if that's the question that you're asking. Is Promark a distributor? Yes. They're an extension of Ingram Micro and absolutely, there is Glassware transactional business that takes place through distribution but it's to authorized partners. And so you have to be an authorized partner to get access to the product. And so that's how we do that. But I don't believe we have any intentions on actually delivering, at this stage, a product that will be geared towards a consumer even prosumer. Having said that, when Glassware is available from the cloud, anybody who wants to go out and put up, stand up a VM with Glassware is more than capable to do so. And as for the second, I can't expand on the relationship. I think we've already covered so much on our relationship there. And in fairness, we're doing a lot more than just Microsoft. But at this point, we really can't. We can't really disclose any more than we already have. 
John Bach: All right. One other question with regard to your storage product. Obviously, there've been a lot in the papers about, see, police departments and their -- I guess, go -- like Go Pro cameras. And I have had many discussions with a major department and they have outlined that the biggest problem is not spending $4 million, $5 million on the cameras but the storage, thereafter, and -- is what their bigger issue is because it will grow exponentially because they have to save those -- all of the film for an indeterminate amount of time at the present time. So what, if any, strides have you made in the government/security policing vertical? 
Eric Kelly: John, thanks for the question. I mean, one of our verticals that we do very well in is on the video surveillance side. And when you look at the entire solution, you hit right on the button. They're using our storage Nav [ph] product. And they're also combining that with our tape library because if you think about short-term versus long-term archival, they have to make sure they have all that storage for 20, 30, 40, 50 years. And the best place to do that and the only place to do that is on your long-term archival solution. So that is, again, you look at the suite of products, I mean, it fits the total -- it fits that market perfectly. And we're having success, not just here in U.S., but we're having it throughout Europe as well in terms of home video surveillance and what's going on, not just police departments, but just -- all of the security issues throughout Europe, where they're trying to make sure they store that data and they keep it and need to have access to it real-time, in case something does happen. 
Peter Tassiopoulos: And John, just so you know, the last -- earlier in the call, I mentioned one of our school districts purchased storage with the enhanced security that was specifically designed around the new requirements, schools are putting cameras on buses. And so this has to do with our archiving footage from a surveillance -- for child safety on the buses. So yes, incredible opportunities for storage. And let's face it, Internet of Things is around the corner outside of what it's going to do. The networks in the world, it's -- from a storage perspective, I mean, what an incredible opportunity for us. 
Operator: We will go next to Scott Shafer [ph], private investor. 
Unknown Attendee: A follow-up here. Can you walk us through a school purchase -- say, the announcement yesterday with the southern state. When a school -- you have 1 million students, do they come to you and say, we need to virtualize such and such program, you provide it. Then you tell the school what device it goes on or is it the device is there and then you put Glassware on the device? Who determines the device? 
Peter Tassiopoulos: So that's a great question, Scott [ph]. What we're seeing right now is interesting. It's mostly schools that are either already purchased their device or in the process of a multi-segmented device purchase. And as you know, many schools they pull budget over a period of time. And so they may buy, if they have a 1,000 students, they may by 300 this year, 300 next year, 300 the year after that. In most cases, what we're seeing is the schools have the devices or a portion of devices on hand is how they started. What's transpired in the last probably 60 days is request coming from schools' pre-device purchase, wanting to make sure that we're compatible with the device they're contemplating, which is really exciting for us, right, to be in that position. But in most cases, what will happen, the school will come to you. They'll tell you the applications that they need to be delivered in a virtual setting. They will tell you the multiple endpoints that they need those delivered to. And then what you will do is you'll price it in 2 manners: one, for what their anticipated concurrent use case is; and two, if they have any burstible requirements. And what I mean by burstible is a school may turn around and say, "Look, I have --" and I'm just using round numbers again. "I have 1,000 kids in my school and in any given time, 1/3 of those kids are using an application. So I need concurrent use for 333 kids. However, when it comes time to testing all 1,000 are going to be on. So I want you to give me some kind of capability to also do 1,000 tests." And so we will go in, and in this case, we go in with somewhat overbuilt appliances that have special enterprise licensing designed for that bursting. In the future, we'll offer them the ability to use on a per hour basis out of the cloud. And therefore, they can buy the appliance for their concurrent users, closer to their kids, less latency because there's no network involved. And when it comes time to testing, they can burst to the cloud and pay per hour during testing. And that's the model that's being deployed now. 
Unknown Attendee: The bandwidth issue, how -- are you guys able to overcome a lot of -- you see a lot of problems with schools not having a proper network. Are you able to overcome that? 
Peter Tassiopoulos: So the schools, once they move to the device world, they upgrade their network. They have really no choice. Have we come across network issues? Of course, right? Anytime, you try to put an additional 10,000 devices on a network, you're going to see some problems, but these are reached prior to our involvement, right? I mean, this is part of what gets scoped during the actual decision to deploy the devices locally, right, because those devices are going to connect to their network whether Glassware or virtualization's on board or not. 
Unknown Attendee: Okay. One last question. It's going to be tough here, but -- bookings, can you give us an idea of what you have, any $160 million run rate by the end of -- by the fourth quarter? Is there any way we can break down each division, where the biggest growth is coming from, where you're most excited, where are you seeing the biggest demand? Can you give us a sense of... 
Peter Tassiopoulos: Not yet but, Kurt, have we given an indication of how we feel about the tape part of our business? 
Kurt Kalbfleisch: What we've stated on the tape part is we don't expect to see significant growth but we hope to hold it relatively consistent throughout the year. So based on that and the 2 categories that we've laid out in our financials, that can lead you where the growth is going to be coming from. 
Peter Tassiopoulos: Well, it's not as granular as you like, Scott. I can tell you that the growth is not going to come from tape. That's not our intent. Okay? I'm sure that doesn't help. 
Unknown Attendee: You said $160 million run rate or Eric said $160 million run rate a while ago. That was before Microsoft, Novarad and the school -- the states deal. So did that... 
Peter Tassiopoulos: Did it go up? If that's -- so we're not prepared to comment, because if we do, it's like giving you guidance, right? The only way I can capture this is some of what we were working on, we were working on a while ago. So we knew what we were doing in terms of what we were including or not including. But if we get any more granular, it's like changing the number, and we're not ready do that. 
Operator: And we will take a follow-up question from Patrick Lauder [ph] with P&L Consultants. 
Unknown Analyst: Sorry about that. I'm a consultant, an IP consultant, through a cable company out here in Québec, which also has  major offices in Ontario. And I'm not too far from your Ontario office. Now how busy are you guys, I mean, because I've been trying to -- I've been -- already made initial efforts to get the people of where I'm working to contact you because we're rolling out products that your product could help us. We're selling to commercial, commercial clients and stuff and selling them applications and stuff, small companies don't have IP. I mean, could I have a -- are you guys are too busy to handle other clients? Because at some point we were trying to get a hold of you and... 
Eric Kelly: Patrick [ph], we're never too busy to have new customers. So I think we have your phone number, we'll call you after this. 
Unknown Analyst: Because I have a person, he is almost a VP and he was open -- I had a big, long discussion with him at a sight I've set and he was very open to it. But I think I need some sort of -- they put these things on the desk and they never get to them. But if I could person that I could actually contact. May I have his name and contact information? 
Eric Kelly: That will be great. I'm sure my sales team is probably listening to this and they're going to run into the room right after this, and there's where you can get the contact. I mean, we're -- as you know, we're having a lot of demand. We have a lot of interest in the platforms and technology but we will definitely follow up and make sure that we address your customer and make sure we take care of him. Absolutely. 
Operator: And we have no more questions in queue. 
Peter Tassiopoulos: All right. So with that one, I guess, we can -- and thanks, Eric, for pausing before your last time. So with that one, this time we can sign off saying, "Okay. I'm glad we had the opportunity to address your questions." And make ourselves available to your questions and follow-up. And Eric, I'll turn it over to you for any closing remarks. 
Eric Kelly: No. I think, again -- I thank everyone for their time. I mean, we wanted to make sure. We understood where we were, kind of our direction, kind of just how much traction and what's happened over the last 30 days. And I can tell you this on our side. We're excited about what's happening, we're amazed that 30 days went by so fast and we're looking forward to updating you on our progress the next quarter. 
 And so with that, operator, I will conclude the call. And again, thank you for your time and thank you for interest in Sphere 3D. 
Operator: This concludes today's call. Have a wonderful day.